Operator: Greetings, and welcome to the Urban Edge Properties Fourth Quarter and Full Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Areeba Ahmed, Investor Relations Associate. Please go ahead.
Areeba Ahmed: Good morning, and welcome to Urban Edge Properties 2025 Year-End Earnings Conference Call. Joining me today are Jeffrey Olson, Chairman and Chief Executive Officer; Jeffrey Mooallem, Chief Operating Officer; Mark Langer, Chief Financial Officer; Heather Olberg, General Counsel; Scott Oster, EVP and Head of Leasing; and Andrea Draven, Chief Accounting Officer. Please note today's discussion may contain forward-looking statements about the company's views of future events and financial performance, which are subject to numerous assumptions, risks, and uncertainties in which the company does not undertake to update. Our actual results, financial condition, and business may differ. Please refer to our filings with the SEC, which are also available on our website, for more information about the company. In our discussion today, we will refer to certain non-GAAP financial measures. Reconciliations of these measures to GAAP results are available in our earnings release and our supplemental disclosure package. At this time, it is my pleasure to introduce our Chairman and Chief Executive Officer, Jeffrey Olson.
Jeffrey Olson: Great. Thank you, Areeba, and good morning. 2025 was another strong year for Urban Edge Properties. We generated FFO as adjusted of $1.43 per share, representing 6% growth, driven by the continued execution on our signed but not open pipeline and 5% same property NOI growth. During the year, we continued to set new leasing records. We executed 58 new leases at a record same space cash rent spread of 32% and achieved record shop occupancy of 92.6%. New lease spreads have now exceeded 20% for four consecutive years, reflecting strong demand and limited availability of high-quality retail spaces throughout our market. Given these dynamics, we expect new lease spreads will remain above 20% in 2026. Leverage has clearly shifted to owners of high-quality shopping centers. Our infill densely populated portfolio continues to attract leading retailers, especially for anchor space. Nearly all our national retailers are telling us how difficult it is to expand in our markets due to limited supply, supporting our expectation for healthy rent growth in the coming years. Our signed but not open pipeline continues to be a key driver of growth. In 2025, we commenced over $16 million of new annualized gross rent, including openings from Trader Joe's, Burlington, Ross, Nordstrom Rack, Atlantic Health, Tesla, and many high-performing shop tenants like Cava, Shake Shack, First Watch, Starbucks, and Club Pilates. A remaining signed but not open pipeline is expected to generate an additional $22 million of annual gross rent, representing 8% of current NOI. Our development and construction teams continue to be key drivers of value creation. During the year, we completed 14 projects totaling $55 million, generating unlevered yields of 19%. We currently have $166 million of redevelopment projects underway, expected to generate a 14% unlevered return. Over the past three years, FFO as adjusted has grown at an average annual rate of 6% to $1.43 per share in 2025. This exceeds our 2023 Investor Day target of $1.35 per share and ranks among the highest growth rates in our peer group. This outperformance is a testament to several factors, including our best-in-class team, favorable shopping center fundamentals, and accretive capital recycling. During this period, we acquired nearly $600 million of high-quality shopping centers at an average 7% cap rate while disposing of approximately $500 million of non-core lower growth assets at a 5% cap rate. Looking ahead to 2026, our goals include achieving FFO as adjusted growth of at least 4.5%, same property NOI growth above 3%, and returning leased occupancy toward our historical high of approximately 98%. Our acquisition guidance includes a $54 million shopping center under contract. While we have not included additional acquisitions or dispositions in our guidance, we remain on the hunt for growth opportunities and have several deals in early stages of underwriting. Looking to 2027 and beyond, we expect to increase FFO by at least 4% annually. Our growth outlook is highly visible, with a significant portion coming from six anchor repositioning projects, including Bruckner, Bergen, Cherry Hill, Hudson, Plaza At Woodbridge, and Yonkers. These projects will include new retailers, including BJ's, Trader Joe's, Burlington, HomeGoods, and Ross, and high-quality shop tenants such as Chipotle, Chick-fil-A, T-Mobile, and Cava. Through 2027, more than 80% of our same property NOI growth is expected to come from executed leases, LOIs, and contractual rent increases. Based on the expected timing of rent commencements, we believe 2027 NOI growth will be approximately 5%. We are proud of our sector-leading performance over the past three years and remain well-positioned to build on this momentum in 2026. I will now turn it over to our Chief Operating Officer, Jeffrey Mooallem.
Jeffrey Mooallem: Thanks, Jeff, and good morning. Our fourth quarter results capped an exceptional three-year run at Urban Edge Properties, characterized by continued leasing momentum, disciplined redevelopment, accretive capital recycling, and ongoing enhancements to our tenant roster. Let's get into some of the details as well as the reasons why we are so bullish that this run will continue. During the fourth quarter, we signed 47 new leases totaling more than 200,000 square feet, including 14 new leases at an 11% same space spread, and 33 renewals at a 17% spread. That brought our total for the year to 58 new leases for over 360,000 square feet, at a same space spread of 32% and 104 renewals for over 1,000,000 square feet at a spread of 11%. On a portfolio our size, any given quarter can have an outlier or two. But a 32% spread on new leases across the entire year is direct evidence of the competitive tenant demand and increased pricing power that we've seen across our portfolio. Year-end same property lease occupancy was 96.7%. Anchor occupancy ended the year at 97.5%, down 50 basis points from last year, while small shop occupancy rose to a record 92.6%, up 170 basis points from last year. The decline in anchor occupancy is a result of taking back one space, at home at Ledgewood Commons, which we expect to re-tenant soon at a strong overall spread. Nationally, shopping center vacancy remains near historic lows. Supply constraints are especially pronounced in the Northeast, where new construction represents only 0.2% of total supply. Finding land and securing entitlements is extremely difficult in our markets. And even if you do, current market rents do not support today's ground-up development costs. We believe the current supply imbalance will continue, allowing us to negotiate even better lease terms, both economic and non-economic. As it relates to our SACS exposure, we had two SACS OFF 5TH locations at the end of 2025. Our location in East Hanover, New Jersey was paying about $800,000 a year of gross rent and closed in January. The space has excellent visibility in a strong submarket, so we expect to re-tenant it accretively in short order. Our location at Bergen Town Center is one of only 12 OFF 5TH stores that will remain open at full rent. That list includes some of the best retail assets in the entire country, such as Woodbury Commons in New York, Buckhead Station in Atlanta, the Gallery at Westbury Plaza on Long Island, and Sawgrass Mills in Florida, just to name a few. Further testament to how special an asset Bergen Town Center is. Turning to development, we stabilized three projects in the fourth quarter totaling $12 million of investment as rent commenced for Tesla at Total Commons, Dave's Hot Chicken at Yonkers Gateway, and First Watch at Bergen Town Center. These projects will generate about a 26% yield. We also activated four new projects totaling $28 million, bringing our redevelopment pipeline to $166 million with a projected unlevered yield of 14%. As usual, nearly all of our active redevelopment projects are tied to executed leases. At Sunrise Mall in Massapequa, New York, we executed a lease termination with Dick's Sporting Goods in the fourth quarter, the last tenant remaining at the mall. This clears one of the final hurdles needed to advance the project, and it will enable our application for an Amazon distribution center on approximately one-third of the Sunrise Land to advance quickly through the entitlement process. While the Amazon approvals remain our focus, we are in discussions with a variety of users for the remainder of the site, and we hope to have more to announce later this year. And finally, on the capital recycling side, we have executed an agreement to acquire a property in New Jersey for approximately $54 million. The asset is located in a dense, high-income submarket, is 95% leased, and it will generate an accretive yield for us from day one. Closing is expected by the end of the first quarter, so we should have further details on this property on our next call. With that, I'll turn it over to our CFO, Mark Langer.
Mark Langer: Thank you, Jeff, and good morning, everyone. We delivered another excellent quarter, capping off a very successful 2025. FFO as adjusted was $0.36 per share for the fourth quarter and $1.43 per share for the full year, representing 6% growth over 2024. Same property NOI, including redevelopment, increased 2.9% for the fourth quarter and 5% for the full year. This growth was driven primarily by rents commencing from our signed but not open pipeline and higher net recovery income, partially offset by higher snow removal expenses, which had a 110 basis point negative impact on same property NOI growth in the quarter. Full-year FFO as adjusted benefited from lower recurring G&A and extracting operational efficiencies as we continued to make progress reducing costs. Our balance sheet remains very well positioned, with total liquidity of $849 million and no amounts drawn on our line of credit. During the quarter, we paid off the $23 million mortgage at West End Commons at maturity using cash on hand. We have no debt maturing until December 2026, with three mortgages aggregating $114 million coming due at a blended 4% interest rate, which we expect to refinance or repay. We ended 2025 with net debt to annualized EBITDA of 5.8 times, below our target of 6.5 times, which provides us with flexibility to seek growth opportunities. Subsequent to the quarter, we amended our line of credit with a new $700 million facility maturing in June 2030 with two six-month extension options and simultaneously executed two $125 million twelve-month delayed draw term loans with a five-year and seven-year maturity. While we do not have immediate plans to draw on the term loans, the delayed draw feature allows us to do so for twelve months from closing and provides us with added flexibility as we pursue our growth plans. Turning to our outlook for 2026, our initial FFO as adjusted per share guidance range is $1.47 to $1.52 per share, reflecting 4.5% growth at the midpoint. Key assumptions within guidance include same property NOI, including redevelopment growth, of 2.75% to 3.75%. Our NOI guidance reflects the full-year fallout from SACS at East Hanover and assumes credit losses of 50 to 75 basis points. On the revenue side, our NOI growth assumes $6 million of gross rent is recognized in 2026 from our signed but not open pipeline, of which 75% is expected to come online in the second half of the year. Therefore, year-over-year NOI growth is expected to build in the second half of the year with lower growth rates in the first two quarters. As I noted, we continue to carefully manage G&A expenses. In 2025, our total recurring G&A was $34.5 million, a decrease of 4% from the prior year. In 2026, we expect recurring G&A to be $34.5 million to $36.5 million, an increase of 3% at the midpoint. As for capital spending, we have $166 million of active redevelopment projects, with $86 million remaining to fund. We expect to spend about $70 million to $80 million during 2026 on these projects and have also budgeted $20 million in maintenance CapEx. As announced in our press release, our Board recently approved an 11% increase in our dividend, to an annualized rate of $0.84 per share, reflecting an FFO payout ratio of about 56%. We expect the dividend to grow as earnings and taxable income grow, while we focus on preserving free cash flow to fund our active redevelopment pipeline that is generating healthy returns. This new dividend reflects the projected growth in our taxable income in 2026. In closing, we are well-positioned to continue driving earnings growth by delivering redevelopment and anchor repositioning projects, obtaining attractive economics on new leases, sourcing new acquisitions, and maintaining a strong balance sheet. With that, I'll turn the call over to the operator for Q&A.
Operator: Thank you. If you'd like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press 2 if you'd like to remove your question from the queue. It may be necessary to pick up your handset before pressing the star keys. Our first question comes from the line of Ronald Kamdem with Morgan Stanley. Please proceed with your question.
Ronald Kamdem: Hey. Great. Just two quick ones. Starting with the shop occupancy, you know, obviously a pretty strong year. 170 basis points year over year. Just hoping you could give some comments on sort of what your expectations going forward in terms of how much more upside is there in that number? Thanks.
Jeffrey Mooallem: Ron, good morning. It's Jeffrey Mooallem. Yes, we've messaged pretty consistently that we think that we can get to a steady state somewhere in that 94% range. Once you start getting above 94%, you're really looking at maybe are you not being strategic enough with some of your shop space? There's always gonna be some static vacancy that comes from turning over, you know, vacancies, from tenant A to tenant B. There's always gonna be some, you know, functionally obsolete, you know, back of house storage type space that sits there on our report. When you start backing those out, we feel like 94, 95, 96 is really about as much as we want to push it. This has been an opportunity for our leasing team now that we're into this rarified air on shop occupancy to actually go back around some of the existing tenants and look at, you know, is this a tenant we could get out? And we can replace at a really healthy spread? So it's not just what's vacant today, but it's also about over, you know, better improving the leasing on what's actually occupied. So 93, 94 is probably a good safe bet for us in 2026. Helpful. My second question was just I think capital recycling has been a big theme for you guys. Just maybe talk a little bit more about sort of the acquisition pipeline and some of the cap rates. And then on the disposition side, sort of what are you sort of willing to put on the table this year? In the portfolio? Thanks.
Jeffrey Olson: Ron, it's Jeffrey Olson. I mean the acquisition market is maybe as competitive as I've seen it. So cap rates are continuing to come down. There's been a lot of increased interest in the space from institutions. There are a lot of lenders out there, the banks, the insurance companies that are lending at very attractive rates. So the good news is that it makes our existing assets more valuable and will probably allow us to do more capital recycling than we had originally intended because we should be able to get better cap rates on what we're selling. Finding properties at attractive valuations is hard. This property that we found in Bridgewater, we're super excited about that one. I think we're getting that at a cap rate that's north of 7.5%, and it has decent growth attached to it. The tenants include the likes of Chipotle, Shake Shack, Cava, and there's also a health and wellness component to it. I'm hoping that we're gonna be able to use the proceeds from that asset to serve as a 1031 exchange for a center that is Kohl's anchored in New Jersey that would actually be accretive on a cap rate basis first year as well. And if so, it would take Kohl's from being our number three ranked tenant by revenue down to number seven. Then we also have a space in Framingham, Massachusetts that we'll take back from Kohl's that would reduce their exposure even further. So that is the plan as of the moment.
Ronald Kamdem: Helpful. That's it for me. Thanks so much.
Jeffrey Olson: Okay. You bet. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Goldsmith with UBS. Please proceed with your question.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. Can you walk us through the same property NOI growth path over the next couple of years? You did healthy growth in 2025 of 5%. You're pointing to 2026 midpoint of 3.25%. And then mentioned earlier, Jeff, that 2027 will be approximately 5%. So can you kind of walk through what are the puts and takes that drive the deceleration in '26 and then should drive the reacceleration in '27?
Mark Langer: Thanks. Sure. Good morning, Michael. It's Mark. So let's just talk from '25 to '26, your first question about the deceleration. Really two things I would point to that are behind that. First is just the fallout from at home last year as well as SACS that we talked about this year. That's a little under $2 million of NOI headwind there. Then I think it was actually you had asked even on our last call whether there was any one-time benefits that came through in '25, and we talked about a 125 basis points of lift for some pretty sizable out-of-period collections that we got in '25 as well as some prior year CAM bills. And so those items, you know, we put more in the one-time bucket. And look, it's not unreasonable to think that we could have other, you know, one-time benefits this year, but unless we have visibility of them, we don't bake them into guidance. So between some of the tenant fallout and those one-timers, that will get you to the deceleration. The second question regarding how do we then pick up in '27, that's really the beauty of what Jeff talked about with our visibility from just the signed but not open pipeline. That we can see 80% of NOI growth coming from stuff that's already executed that we have to deliver. And that maps, Michael, to what we've disclosed kind of in our signed but not open bridge. So those would be the two big factors.
Michael Goldsmith: Mark, thanks for that. That's really helpful. And then just as a follow-up, I think last year, you started with a bad debt guidance of 75 to 100 basis points, believe, in your prepared remarks, you talked about 50 to 75 basis points. So can you talk about what's the what changes this year and does that reflect just kind of those in the watch list that, you know, the names that you kinda talked about just in the prior response coming out, and that gives you a cleaner portfolio based on what you see right now for '26? Thanks.
Mark Langer: Yeah, Michael. Look, I think it's a function just of some of the changes in the environment. When we sat here last year, the names that we were worried about between Party City and Michael's and Joanne's and At Home which, you know, did file but took longer than we thought. So, really, the bad debt guidance this year is lower just because when we look through our portfolio tenant by tenant and really think about, you know, where is the most elevated risk of someone that's really gonna fall out, we just feel better about the environment with our tenancy today than we did, you know, last year, a little bit on the margin. As you said, you know, the 50 to 75. So it's really just a function of our assessment, you know, looking through the tenancy of the portfolio today.
Michael Goldsmith: Thank you very much. Good luck in 2026.
Mark Langer: Great. Thank you.
Operator: Thank you. Our next question comes from the line of Michael Gorman with BTIG. Please proceed with your question.
Michael Gorman: Thanks. Good morning. Mark, if I could just go back to the same store for a second, you mentioned the tenant fallout. You also mentioned snow removal costs in the fourth quarter, I thought I heard. And I'm just wondering what you might have baked into the 2026 guidance for the winter storms that have already gone through the Northeast that might be having an impact there.
Mark Langer: Yes. I mean, January was certainly off to a tough start. So what I can tell you, Michael, is our guidance range this year accounts for our estimate of what we incurred in January. We're still going through and closing the books for that. Luckily, February, while brutally cold here in the Northeast, knock on wood, you know, hasn't had additional snowfall. So we feel that we've appropriately provisioned for snow in our guidance.
Michael Gorman: Okay. That's helpful. Thanks. And then maybe just switching to the redevelopment pipeline. You talked about it a bit in the prepared remarks. 14 projects completed successfully last year. I think another 13 are gonna complete this year. You know, you have a few listed out as potential starts. Can you just talk about additional opportunities, especially if acquisitions are going to remain challenging to maybe accelerate starting new redevelopment projects in the existing portfolio? Thanks.
Jeffrey Mooallem: Yeah. Good morning, Mike. It's Jeffrey Mooallem. Yeah. I think you can think about our redevelopment program in two buckets. One of which is really the kind of blocking and tackling stuff that we consistently get these double-digit yields on where we're re-tenanting an anchor space, we're adding a pad, we're maybe expanding a building somewhere. You know, the sort of the day-to-day, for lack of a better term, development work that we do here where we're repositioning our portfolio and constantly trying to improve it and enhance it. And if we can do that with better tenancy, maybe add some GLA, maybe turn a vacant old bank pad into a new restaurant pad, and do that in that 14, 15, 16% yield range. We're doing that all day long, and that comprises our $166 million redevelopment pipeline. The second component of it is what we would call sort of the bigger undertakings that frankly don't, you know, get reported every quarter because they don't come along every quarter. So things like Sunrise Mall, Jersey City, New Jersey, Hudson Mall, Yonkers, Bruckner. Some of our bigger projects where we are maybe having to go through a year or two of entitlement work, in order to get to where we wanna get to, and they might involve some demolition. They likely will involve an anchor tenant, like an Amazon or, like, Walmart. Those projects take longer and are more complex and cost more money. But they add significant growth to us when they do come online. The perfect example being in 2027 when we'll see a lot of our heavy lifting at Bruckner come online. So, you know, we generally like to play in those two fields. I don't think you're gonna see us buying a lot of vacant land and building ground up, as I mentioned in my remarks. It doesn't really pencil out for anybody these days. And when we have the opportunity to hedge the portfolio in either a small bucket or a large bucket, that's what we're trying to do.
Michael Gorman: Great. Thank you for the time.
Operator: Thank you. Our next question comes from the line of Michael Griffin with Evercore ISI. Please proceed with your question.
Michael Griffin: Great. Thanks. Three Michael Gs in a row. Gotta love it. Jeff, my question to you is just on the leasing on the quarter for new lease spreads came in at about 11%. I know that these things can be choppy quarter over quarter, and it seems like you're projecting 20% new lease spreads for the year ahead. But I mean any kind of puts and takes or things just on the quarterly number that maybe it came in a little bit lighter? Can you give us some context around that?
Jeffrey Mooallem: It was just a low number overall. It was only on 37,000 square feet of space. So I think you have to look at it more on a four-quarter rolling basis.
Michael Griffin: Great. That's some helpful context. And then maybe just going back to kind of the capital recycling theme. Is there an opportunity, I guess, within your centers to potentially carve out and dispose of the, you know, anchor tenant that might be there for a while, but has flat lease escalators. Right? You know, I think about, like, the Home Depot at Hanover Common. Right? High-quality tenant in a great center, but probably doesn't have a lot of growth there. Is that, I guess, a capital recycling avenue that you can then redeploy those proceeds into higher growth opportunities while still maintaining, you know, some of the other tenants within the center?
Jeffrey Olson: Yes. I mean, I think it is. What we don't want to do is chop up the center. So in East Hanover, because Home Depot shares a parking lot with other tenants, it just makes it more complicated, and we want to be in control. But we absolutely have, you know, freestanding Home Depots and Costcos and Lowe's that operate independently, where the land is subdivided or it will be. So, we do think that's an attractive source of capital. And we've been using that over the last several years. So we have sold some spaces back to Home Depot and others.
Michael Griffin: Great. That's it for me. Thanks for the time.
Jeffrey Olson: Okay. Appreciate it. The next Michael G, please.
Operator: Thank you. Our next question comes from the line of Floris Van Dijkum with Ladenburg Thalmann. Please proceed with your question.
Floris Van Dijkum: Thanks. I'm definitely not a Michael G. So thanks, guys, for taking my question. So getting maybe a little bit more into the capital recycling which you guys have done incredibly well over the last couple of years, mind you. But as cap rates have compressed in your core markets, maybe talk about the, you know, the cap rates added and, you know, the spread that you've historically achieved. How is that? It looks like it's shrinking if I look at what you did the assets you sold last year and the asset you bought in Massachusetts. There's a 50 basis point spread there. It's still positive. But you used to be able to get significantly higher spreads on your capital recycling. How do you see that transpiring going forward? Maybe if you can talk a little bit about that and what you think is happening to cap rates.
Jeffrey Olson: Yeah. I mean, spreads clearly have narrowed. So I think achieving a 200 basis point spread, as we've done, is unlikely. But I think what's highly likely is that, you know, that spread of 50 basis points, call it, that we did last year, when you look at the growth rate on what we're buying versus what we're selling, I think there may be a two to 300 basis point spread in growth on an annual basis. So we are looking to use capital recycling to accelerate our internal growth by selling some high-quality, you know, good credit assets that might have 1% growth and exchanging those in an accretive manner initially with assets that might be growing at two and a half to 3% and might have some opportunities for redevelopment in the future.
Floris Van Dijkum: Thanks, Jeff. Maybe my follow-up. If you could talk a little bit about two assets in particular. One, Gateway, which has very low rents. Curious as to what you're doing to optimize rents and growth in that asset. And then Bruckner, which, obviously, you're spending a lot of capital, which should be one of your best assets when it's fully completed. And do you think you can do something like what you've done in Bruckner at Gateway going, you know, I guess is my question?
Jeffrey Mooallem: Hey, Floris. Good morning. It's Jeffrey Mooallem. Yeah. Let's take Gateway first. I mean, as you're right, big piece of property, sitting in Everett, Massachusetts, you know, Boston skyline on the horizon right next to Encore hotel and soon to be right next to the new Major League Soccer stadium in New England. So it's just a fantastic piece of land. Unfortunately, it's got a lot of tenants with a lot of long-term leases, so we could snap our fingers and get space back, I think you'd see us, you know, be able to meaningfully move the needle on what that asset could look like and the rents that we could achieve on it. But, like a lot of these types of power centers, it'll be a longer, slower one. As we get space back, we're able to re-tenant it. Would love to add a Trader Joe's or a Sprouts or a high-end grocer there. We just don't have a space for them. So that will be something we continue to talk about internally. But, right now, it's pretty much fully leased. There's one small vacancy that we have a lot of interest in. But, until we can get some of the anchor and junior anchor space back, there's not a lot more we can do there. Bruckner is a perfect example, though, of what happens when an opportunity does present itself. Losing the Kmart there gave us the opportunity to really rethink not just the Kmart and the Toys R Us that was in front of it, but the whole shopping center. And if you look if you were to go out to Bruckner today, you would see a pretty heavy construction site. And if you go out to Bruckner a year from now, you would see a Chick-fil-A on the corner open for business, a Chipotle open for business, and hopefully a BJ's Brewhouse and a Ross Dress for Less open for business. So when you add those kinds of tenants, you're adding effectively a third grocer with BJ's to the ShopRite and the Aldi that are already there. When you add those kinds of tenants and you bring in more soft goods, we have Marshalls, we've got Burlington. Now we'll be adding Ross and another soft goods tenant next to Ross. And then, of course, you add food offerings like we'll be able to put in, anchored by Chipotle and Chick-fil-A. Like, that asset really does become a complete redevelopment and one that we're incredibly proud of. Jeff likes to say that when he started Urban Edge, it was the ugliest shopping center he ever saw. And now we all kinda think it's one of the nicest shopping centers, certainly in, you know, in the five boroughs. So, Bruckner is a good litmus test for where we'd like to get to, but we have to have the space back first to get it.
Jeffrey Olson: And to put Bruckner in context, I think our NOI was around $7 million last year at Bruckner. And in 2028, we're expecting it will increase by $8 million to $15 million. So it's driving a lot of growth over the next several years.
Floris Van Dijkum: Thanks, guys.
Jeffrey Mooallem: Thanks, Floris.
Operator: Thank you. Ladies and gentlemen, that concludes our question and answer session. I'll turn the floor back to Mr. Olson for any final comments.
Jeffrey Olson: Great. We appreciate your interest in our company and look forward to seeing you soon. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.